Operator: Ladies and gentlemen, thank you for joining us and welcome to the Unity Software Inc. Q4 2025 Earnings Call. After today's prepared remarks, we will host a question and answer session. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute. I will now hand the conference over to Alex Giaimo, Head of Investor Relations. Alex, please go ahead.
Alex Giaimo: Thank you. Good morning, everyone. Welcome to Unity Software Inc.'s fourth quarter 2025 earnings call. Today, I'm joined by our CEO, Matthew Bromberg, and our CFO, Jarrod Yahes. Before we begin, I want to note that today's discussion contains forward-looking statements, including statements about goals, business outlook, industry trends, and expectations for future financial performance, all of which are subject to risks, uncertainties, and assumptions. You can find more information about these risks and uncertainties in the risk factor section of our filings at sec.gov. Actual results may differ, and we take no obligation to revise or update any forward-looking statements. Finally, during today's meeting, we will discuss non-GAAP financial measures. These non-GAAP financial measures are in addition to and not a substitute for or superior to measures of financial performance prepared in accordance with GAAP. A full reconciliation of GAAP to non-GAAP is available in our press release and on the sec.gov website. And with that, I'll turn it over to Matthew Bromberg.
Matthew Bromberg: Thank you, Alex. Good morning, everyone. On behalf of all of us at Unity Software Inc. from across the globe, I'd like to thank each of you for joining us today. When the environment gets noisy, it's always clarifying to tune back into performance and the underlying product and market dynamics that produce it. It's in that spirit that I'll begin this morning by offering some broader context for why we've never been more excited about Unity Software Inc.'s future. Our fourth quarter results once again comfortably exceeded the high end of our guidance, led by exceptional performance from Vector, which experienced its third consecutive quarter of mid-teen sequential revenue growth. Vector revenue has grown 53% in the first three quarters since its launch, and we believe we are still very much at the beginning of the trajectory. This January was Vector's best revenue month ever, larger even than the holiday record set in December, and 72% larger than January. By 2026, we expect the quarterly revenue run rate for Vector to be comfortably more than $1 billion a year. We could not be more optimistic about how this business is scaling and the value it is delivering to our customers. Throughout 2025 and into 2026, this incredible growth in Vector, the sharp decline in the IronSource ad network has at times masked that dynamic, however, is swiftly drawing to a close, which will materially enhance growth rates and profitability in our advertising business as a whole in the years ahead. IronSource ad network will represent less than 6% of total Unity Software Inc. revenue in the first quarter and will become an even smaller component of our financial profile over time. And this isn't just a shift in revenue, it's a shift in quality. We are displacing commoditized lower-margin ad network revenue for deeply differentiated AI platform revenue. The success we're seeing in our advertising business has been mirrored by the return to growth of our software business, where 2025 showcased the fastest year-over-year growth in Create in more than two years. And this growth is truly global in nature. Over the course of the year, our Create business is up nearly 50% in China, the world's largest video game market, driven by our unique interoperability with local operating platforms like Open Harmony and compatibility with popular consumer channels like WeChat. Unity Software Inc. is the global abstraction layer that allows a developer to write once and deploy everywhere, so that no one has to choose, for example, between building a WeChat mini-game and a high-end iPhone release; they can have both at the push of a button. Unity 6 is being adopted more quickly than any version in our history, and as a reminder, it's for around 90% of our active creators completely free to use. Our customers typically only pay us once they've built successful games, which by definition includes wiring a full suite of infrastructure, modernization, and content optimization tools to the Unity Software Inc. platform. Tools which might be developed by us, but because we are an open and extensible platform, might just as likely be offered by third parties or even self-built. This is what we mean when we say we're the assembly point for interactive content creation. And when that creation is ready to meet its audience, the Unity Software Inc. runtime is the universal bridge that connects imagination to execution, ensuring that regardless of the hardware or platform, the experience remains seamless and performant. Our runtime doesn't just display pixels; it serves as the persistent foundation that manages the complex interplay of physics, input, and networking across devices, making Unity Software Inc. not just a tool for building, but the standard for deploying interactive content globally. New creative tools like emerging world models that make it possible to generate high-quality interactive assets from simple no-code prompts are a massive opportunity for Unity Software Inc. and should greatly increase the market for interactive creation. The Unity Software Inc. engine is not an asset generator, and it never has been. Assets have always been created largely outside of our software. We'll transform these new assets, enabling them to be brought directly into Unity Software Inc.'s platform and adding the physics, game logic, infrastructure, and distribution systems to turn them into full-fledged games, making it possible for our customers to run multibillion-dollar live service businesses. As we increasingly integrate native AI into the creation process, Unity Software Inc. will become easier to use, which will draw more customers into the world of interactive content creation than ever before. This explosion of new asset types, new creators, and new games will also drive our advertising business. The primary challenge then becomes discovery. As the amount of content multiplies, how will consumers find the next thing they really want to play? And that's where Vector comes in. As it grows and becomes ever more efficient at understanding consumer preferences, it will become more effective at making high-quality recommendations. We expect this dynamic will be a tailwind for Unity Software Inc. for many years to come. With all that as a context, now let's look ahead to what we're building and delivering to the market in 2026. We'll begin our advertising business with Vector. Last year was about laying the foundation, modernizing our tech stack, and improving our capabilities to customers by delivering both improved install volumes and ROAS across geos, genres, and platforms. 2026, however, will be about taking the next leap forward. Over the course of Q1, we will scale our testing of runtime engine data, with the expectation that it will be live in Vector during Q2. This milestone has been made possible through a great deal of hard work over the last two years, and we're really proud of the team for getting us to the launch threshold. As we've mentioned previously, we don't anticipate that the inclusion of runtime data will produce a lightning strike moment, but rather it's our conviction that the addition of highly behavioral data will result in significant compounding model improvements over time. What makes Vector different isn't just the quality of our AI model; it will also be the quality of the signal. We're moving beyond capturing clicks towards fully understanding how users interact with the game world, what engages them, how they progress, and where they find value. Our runtime will enable us to interpret this unique deep behavioral signal and provide more value to our advertising customers for years to come. As the signal improves, modeling becomes even more valuable. So we're optimistic about marrying these runtime data advances with the long list of planned product improvements to be delivered in Vector over the course of 2026. One of those product improvements already in beta and having a positive impact is our day 28 ROAS feature, which enables customers to manage their campaigns based on longer time horizons. There will be many such improvements over the course of the year, and we expect runtime data will boost the impact of everything we do. In our Create business, we expect 2026 will also be a year of fundamental transformation. While continuing to deliver a roadmap to customers that provides enhancements to the product they depend on every day, we will make fundamental advances in two areas: collaboration and AI authoring, both of which we expect will meaningfully grow our addressable market. Let's take collaboration first. In 2026, Unity Software Inc. authoring work will become largely accessible by web browser, no download required, with project and gameplay views shareable with a one-click URL. This shift will, for the first time, enable software developers, who are currently our only customers, to collaborate seamlessly with the artists, designers, product managers, back-end developers, and executives that comprise the full creative team, massively expanding Unity Software Inc.'s utility and the size of our addressable market. Our first steps in enabling this vision of the future can be glimpsed today in Unity Studio, our recently announced no-code 3D editor that's already in beta for industry customers today. By moving the Unity Software Inc. environment to the browser, we are moving 3D creation out of a siloed local install into a live collaborative workspace, bringing the business and creative stakeholders directly into the heart of the project. For every current Unity Software Inc. developer, there are a multitude of others working collaboratively on each project who will benefit from access. We're excited to drive this expansion of the Unity Software Inc. platform in 2026. AI-driven authoring is our second major area of focus for 2026. At the Game Developer Conference in March, we'll be unveiling a beta of the new upgraded Unity AI, which will enable developers to prompt full casual games into existence with natural language only, native to our platform, so it's simple to move from prototype to finished product. This assistant will be powered by our unique understanding of the project context and our runtime, while leveraging the best frontier models that exist. We believe together this combination will provide more efficient, more effective results to game developers than general-purpose models alone. AI inside Unity Software Inc. will lower the barrier to entry, raise productivity for existing users, and democratize game development for non-coders. When combined with our new web-accessible authoring environment, our goal is to remove as much friction from the creative process as possible, becoming the universal bridge between that first spark of creativity and a successful, scalable, and enduring digital experience. And to better enable these new creators to build their businesses, Unity Software Inc.'s toolset will include our newly enhanced in-app purchase commerce offerings. These also move into early access next week, with general availability in Q2. By integrating monetization and commerce directly into the AI authoring flow, we won't just make it easier to make games; we'll make it easier to succeed with them. When you look at all these pieces together, the compounding intelligence and performance of Vector, the accessibility of Unity Software Inc. in the browser, and the massive potential tailwind presented by AI authoring, the picture becomes clear. We're moving from a world where game development was the province of the few to one where it will be accessible to the many. This is what we've always called the democratization of game development, and it is in our DNA. Unity Software Inc. is the common denominator in this transition. We'll provide the platform to create interactive content, the engine that renders it, the runtime that connects it to players, and the advertising stack that helps consumers discover it. With that, I'll pass over to Jarrod Yahes for an overview of our financial performance.
Jarrod Yahes: Thanks, Matt, and good morning, everyone. Unity Software Inc. had exceptional momentum in the fourth quarter, which translated into the fastest growth and the highest margin we've experienced in the past two years. Our execution and ability to hit our targets is improving, becoming more consistent. And as expected, that accelerating organic growth paired with high contribution margins is enabling operating leverage and driving free cash flows. In the fourth quarter, we had strong performance across both Grow and Create. Grow revenue in the fourth quarter was $338 million, up 6% sequentially and up 11% year over year. Revenue upside compared to our guidance was driven by the exceptional performance of Vector. Vector experienced yet another quarter of mid-teen sequential growth, its third in a row, driven in part by a robust holiday season. As a point of context, Vector added more incremental dollars in the fourth quarter than in any prior quarter. January was Vector's best month ever, and we remain extremely confident that our ad business remains in the early innings of a multiyear growth story. In the fourth quarter, Vector represented 56% of Grow revenue, up from 49% just two quarters ago. Grow results in the fourth quarter were impacted by a $7 million sequential revenue decline in the IronSource ad network, which represented 11% of Grow revenue for the quarter. Our internal analysis shows that Vector's ongoing strength is almost entirely coming from incremental advertiser demand and improved conversion performance rather than a shift over from customers who've been reducing spend with IronSource. In Create revenue was $165 million, up 8% year over year. As a reminder, we lapped $10 million in non-strategic Create revenue from 2024. Excluding the impact of non-strategic revenue, our Create business grew an extremely healthy 16% year over year, powered by strength in our subscription business. Revenue growth accelerated during 2025 as customer contract renewals and related price increases took effect. We also exhibited extremely strong growth momentum in our Create business in China this year. Our commitment to product stability and performance, coupled with a successful rollout of annual price increases and an improved go-to-market approach, has now translated into consistent steadier growth for our Create business. Turning from revenue to non-GAAP profitability, adjusted EBITDA for the quarter was solidly above our expectations at $125 million, representing 25% margins, an improvement of 200 basis points both year over year and sequentially. We were able to achieve this despite significant sales and marketing spend in the quarter for our UNITE conference in Barcelona and additional accruals associated with sales commissions and annual performance bonuses. We also experienced elevated R&D spend due to significant increases in cloud spend and additional AI hiring. I would like to touch on some key financial highlights from 2025 that underscore how our strategy is beginning to result in faster organic revenue growth and improved profitability and cash flow. Firstly, organic year-over-year revenue growth has been accelerating in each of Create and Grow as well as Unity Software Inc. in the aggregate. Year-over-year growth has accelerated every quarter throughout 2025. Secondly, our focus on cost discipline and prudent capital allocation has demonstrably benefited profitability and cash flow. In 2025, we increased adjusted EBITDA margins to 22% while converting an impressive 99% of our adjusted EBITDA to free cash flow. As a result, Unity Software Inc.'s free cash flow grew 41% in 2025 to just over $400 million. Free cash flow margins expanded more than adjusted EBITDA margins by 600 basis points, highlighting Unity Software Inc.'s ability to meaningfully scale flow as revenue grows. Cash flow benefited from positive working capital contributions combined with a significant reduction of restructuring charges. In 2025, we also made impressive progress in our path towards GAAP profitability, including reducing our stock comp expense by 19%. As a result, stock comp expense as a percentage of revenues declined from 33% in 2024 to 21% in 2025. And lastly, before turning to guidance, we exited the year with a strong balance sheet. And with that, future obligations using cash on the balance sheet and cash generated from our business. We successfully refinanced $690 million of our 2020 convertible notes, extending those maturities into 2030. And a highly cash flow generative business, we are confident in our ability to pay off with over $2 billion in cash on hand. I'd now like to turn to guidance for the first quarter. We're expecting total first quarter revenues of $480 million to $490 million and adjusted EBITDA of $105 million to $110 million. In Grow, we are forecasting revenue to be flat on a sequential basis, due primarily to seasonality as we come off the holiday-rich fourth quarter and with two fewer calendar days in Q1. Despite these dynamics, we expect Vector to grow 10% sequentially in the first quarter, and we expect Grow to return to sequential growth in the second quarter powered by continued strength from Vector. In Create, we are forecasting double-digit year-over-year revenue growth in the first quarter, excluding the impact of non-strategic revenue. This growth is driven by continued strength across our subscription business. We anticipate a similar cadence of growth throughout 2026, excluding roughly $40 million of non-strategic revenue and one-time items. We expect adjusted EBITDA margins to expand 300 basis points year over year in the first quarter. Similar to our 2025 trajectory, adjusted EBITDA margins should improve throughout the year and drive solid overall margin expansion for Unity Software Inc. in 2026. I would note that we expect healthy margin expansion despite a heavy investment in our product roadmap across Vector and a range of strategic AI initiatives. With that, I'd like to thank you for joining us on Unity Software Inc.'s fourth quarter 2025 conference call, and let me turn the call over to Alex Giaimo so that we can take your questions.
Alex Giaimo: Thanks, Jarrod. Nicole, we are ready for questions.
Operator: We will now begin the question and answer session. Please limit yourself to one question and one follow-up. If you have dialed in to today's call, please press 9 to raise your hand and 6 to unmute. Your first question comes from the line of Matthew Cost with Morgan Stanley. Your line is open. Please go ahead.
Matthew Cost: Hi, everybody. Thanks for taking the question. So I guess Grow grew double digits organically for the first time in four years. You know? And you mentioned kind of the consistent mid-teens to over the course of the past couple of quarters. So, you know, really meaningful improvement in the trajectory of this business. I think what the market is wondering this morning is where are we in the process of kind of harvesting the low-hanging fruit for Vector? And how many significant ongoing breakthroughs are there still ahead for Unity Software Inc. ads? And then how much of a drag is IronSource going to be as we move through the rest of 2026? Then I'll follow-up on commerce after we touch on that. Thank you.
Matthew Bromberg: Good morning, Matt. Thanks very much for the question. Yeah. As you know, as we laid out during our prepared remarks, we are just thrilled with the continued strong growth of Vector. It continues to meet and exceed our expectations. You know, as I mentioned, January is a business up more than 70%. So it's extraordinarily exciting for us, and as we've indicated before, all of this growth predates any of the impact which we believe will be substantial over the long term, of including our runtime data in our models. I know that there appears to be some consternation of the market about the long-term ability for us to grow this business. I honestly have a difficult time understanding why. As you can see, quarter after quarter, this business is growing and delivering not just in the quality of the model, in the quality of the signal, in the amount of return we are offering to customers, both in the volume of new installs, but also on the ROAS of their spend. And we feel like there is no natural ceiling to what this business can do in the future. And we're incredibly excited about it. I called out at the top of my remarks the trajectory of the IronSource business only because, you know, my sense is that investors are overly focused on the performance of that business, which is a legacy business for us. And as I indicated, it will get smaller and smaller over time and won't be material to our overall picture, which was really the reason why I highlighted it. So I would just say that going forward, it's not going to be an important component of our revenue, and that has really strongly and completely been driven by the growth of Vector. And so that's just a statement of the obvious.
Matthew Cost: Great. Thank you. And then just on commerce, you kind of head towards a GA launch, it sounds like, in February. What are you seeing so far in terms of demand and uptake of that business? Is it in certain segments of your client base that are interested in potentially testing it? You know? And how broadly do you think you might see your commerce tools adopted as you go into GA?
Matthew Bromberg: You know, we've been extremely pleased by customer reaction to our product. We're, as I think I mentioned, moving into early access next week, and the product will be generally available by Q2. We've been talking to a very wide range of customers, and the interest is extremely strong. And the three primary benefits that we're hearing from customers that they're taking from this product. The first one is it dramatically accelerates the pace in which they are able to take advantage of sort of the changes in the regulatory environment related to storefronts and that enable them to control their own payment layer in their own storefronts. We're also really excited about the potential, continue to be excited about the potential for this, the purchase behavior to enhance Vector models over time, which is going to be great for customers. And because this product is organically integrated into our platform, it's extremely easy for our current and future customers to use in a way which is really streamlined. So we're super happy with the initial response we're getting, and we're really looking forward to launch.
Matthew Cost: Great. Thank you so much.
Operator: Your next question comes from the line of Alec Brondolo with Wells Fargo. Your line is open. Please go ahead.
Alec Brondolo: Yes. Hey, thanks so much for the question. Maybe two for me. First, can you help us understand what you've seen in the market from Meta so far in the first quarter? Has it become meaningfully more competitive on iOS inventory? And has that impacted the growth of Vector at all? That's the first question. The second question, could you maybe talk about CloudX's entrance to the mediation market? How do you think about the trade-off between Level Play potentially losing share relative to the ability to partner with CloudX and have an independent platform to bid through over time? Thank you.
Matthew Bromberg: Thanks so much, Alec, for the question. Let me take them in reverse order and start with CloudX. As I think everyone's aware, we are partnering with that team as one of their demand partners. As I think you also know, the founder of that business worked here with us. So we have a close relationship and are wishing him and his team all the best. As you've heard me say many, many times before in this call, we are supporters of any platform that desires to open up mediation and make it more transparent and effective for customers. We think this is going to be good for the industry and the mobile ecosystem, and that's the direction we want to see this go. You've also heard me say many times on this call that mediation is not a central piece of our strategy going forward because we feel comfortable that the first-party connections we have to our customers through our engine and the runtime are all that we need in that regard. As an ad network bidder, we are completely agnostic in terms of what mediation platforms exist and which ones we're bidding into, so long as they're fair and transparent. So that's the short answer there. Our mediation business is not in any way material to the overall result of Unity Software Inc. Not in any way. Second, Meta, I know there was a lot of consternation over the course of the quarter, which as far as I can tell was kicked off by a LinkedIn post. Let me just say this. Unity Software Inc. has and always will compete with some of the largest, most sophisticated companies in the world. It's our advertising business. We do that every day. We always have. Meta, Google, Applovin, and many others. We have nothing but respect and admiration for all our competitors. Meta has been competitive in iOS traffic for quite some time. This wasn't a new dynamic. It did not have a meaningful impact on us in any way. We are laser-focused on the games industry in our business, not e-commerce. Given our strength through Vector and the engine, the understanding we have in that segment, we feel very, very good about our ability to compete with anyone. And as I say, we've seen essentially no impact, and I would, in general, caution investors from overreacting to LinkedIn posts.
Alec Brondolo: Yeah. Thanks so much.
Operator: Your next question comes from the line of Brent Thill with Jefferies. Your line is open. Please go ahead.
Brent Thill: Good morning. I think everyone would love to hear your thoughts on Google Genie and what that means going forward. And that was my question. Thank you.
Matthew Bromberg: Thank you so much for the question. Let me start at a macro level. At a macro level, it's our belief that AI is going to be a massive tailwind for the video game industry. The first reason that's true is that leisure time is going to increase massively over time, and that's going to lead to an explosion of time spent in video games. The second thing is that AI is going to make the creation of video games much more efficient and less expensive. As you've heard, I think you guys have heard me say before, our bet is that the impact is going to be much more about what I would call the time to innovation than the time to market. And what I mean by that is the vast majority of time spent building games is spent building out the really complicated, sophisticated systems and features that power these games as live services, but many of which are at the base layer very common game to game. And so to the extent that AI helps to build those underlying systems quickly and to kind of remove some of the drudgery from the work, it will allow creators, which we believe will continue to be human-in-the-loop creators, more time to focus on differentiation and innovation and building new things. And we believe that it's going to have an extraordinarily positive impact on our industry over time. As I said about ten days ago and made a public post about this, I think it's just important for folks to understand what world models are and what they are. We believe world models are going to be a source of inspiration and assets for creators, but that they're not in any way going to replace game engines. They are complementary, not duplicative. The kind of video-based generation that world models are good at is exactly the type of input our AI workflows are designed to leverage. We're going to translate some of that rich visual input, which right now is less than a one-minute video, but will probably improve over time. Those types of 3D assets are going to be integrated into our engine where they can then be refined with the deterministic systems that Unity Software Inc. developers are using today. Interactive, camera-controllable video from world models is just going to enhance that pipeline. We think it's going to be a really meaningful step forward. So basically, we view our role as to operationalize these advancements. Outputs are converted into our real-time engine, where they're converted then into structured, deterministic, fully controllable simulations where creators are defining physics, gameplay logic, networking, monetization, live operation systems, all the things that are needed to provide consistent behavior across devices and sessions. In other words, the things that make something a game. So we see these developments as really complementary. We have a long-term relationship with Google, as well as developing relationships across the space. And I would just again say one thing I think I said in my prepared remarks. We are completely agnostic as to the nature of how 3D assets get created. We're an assembly point for building interactive experiences. We compile the pieces together after those assets are created, and we help creators turn those into real games. Unity Software Inc. is not an interactive video generator; it's a real-time 3D execution platform designed to build once and then run everywhere efficiently and seamlessly. So that's my feeling about Genie.
Brent Thill: Thanks, Matt.
Operator: Your next question comes from the line of Vasily Karasyov with Cannonball. Your line is open. Please go ahead.
Vasily Karasyov: Hi. Good morning. I wanted to follow-up on what you said earlier on cross-platform commerce management solution. Would you mind giving us more details on a couple of points here? Number one, how does the economics generally in general terms work for you with this solution? And for example, your partnership with Stripe. And number two, how should we think about potential tangible and intangible benefits to the other business lines within Unity Software Inc. from this solution? Thank you.
Matthew Bromberg: Yeah. We participate in the economics of the e-commerce transactions that have extremely high margin, but very modest. And so our goal here is not to make massive dollars on these transactions. It's really to deliver value to customers and to ensure that their commerce experiences can be built natively in a tightly integrated way with all the rest of the systems that they're building on Unity Software Inc. But to your point, we believe that over time processing and helping customers, most importantly, optimizing and improving their commerce capabilities and optimizing and improving engagement in their games, which leads downstream to more revenue, is going to both fundamentally enhance the operation of Unity Software Inc. itself, will make it more valuable to our customers, and also fundamentally enhance the value of Vector because optimization around engagement and the experiences which lead downstream ultimately to transactions and revenue growth are really important. Part of building a game and a really important part of forming a complete picture of the video game consumer. And as you guys know, our primary strategy here is to have the deepest and clearest and most accurate sense of every one of the billions of gamers globally that move through our product. Last count, more than about three and a half billion every month are in a made with Unity Software Inc. game. And the clearer we can understand those consumers and their behavior both with respect to commerce, but also more generally, the more value we're going to be able to deliver to our customers.
Vasily Karasyov: Thank you.
Operator: Your next question comes from the line of Eric Sheridan with Goldman Sachs. Your line is open. Please go ahead.
Eric Sheridan: Thanks so much for taking the questions. Maybe one follow-up and then one more bigger picture. But on the follow-up, you gave a number for January growth relative to Q4 growth. And then you also talked about the quarterly growth of the Grow business that you would expect. Can you talk a little bit about what you're seeing in January relative to what you saw in Q4 and how it sort of informs your broader view for the Grow business in the whole of Q1 relative to January? Just want to make sure we sort of got the right messaging on that. And then I had a quick follow-up, if that's okay.
Jarrod Yahes: Sure. So, you know, Eric, at the highest level, Vector as a business grew mid-teens in the fourth quarter, which is the third sequential quarter of that kind of growth. So we're extremely pleased about that. January was a record for Vector. That is to say that our January revenues were higher than December, which was also a record revenue for Vector. And we expect 2026 to be an incremental 10% growth, sequentially for Unity Software Inc. Vector on top of the three quarters of mid-teens growth that we've experienced. Such that January on a year-over-year basis is growing in excess of 70%. Suffice it to say we're, you know, elated that our largest business is growing at those extraordinarily rapid growth rates. We knew Unity Software Inc. was going to transform. We knew the underlying growth profile of the business was going to accelerate. I think we just are continually impressed by the success we're seeing in the market, and we're, you know, we're thrilled with the investment that we're making.
Eric Sheridan: Great. Thank you for that. And then, just on the Create business, really building on Brent's question and sort of the way you framed Genie going forward. You know, I think there's a lot of investor concern about the long-term strategic positioning of Create. Maybe you just want to address a little bit what you're seeing across the base of customers in Create today relative to the broader narrative that maybe has sort of made its way into the investor conversations just to sort of tee up your view broadly over the longer term. Maybe not just about Genie, but just about what you're seeing across the customer base? Thanks so much.
Matthew Bromberg: Yeah. Thanks, Eric, for the question. We are seeing incredible strength in our Create business. As Jarrod mentioned, it's really important to remember that just a few quarters ago, you know, both Create and Grow segments were shrinking. And you know, a year down the line, a little bit more than a year down the line, you know, our largest ad business is growing 70%, and the Create business is up 16%. So the strength in the business is obvious to us. The improvements in quality and stability and the clarification we are making around our investments and our roadmap for our customers have been extremely well received. We are delivering more value more consistently. We still have work to do, but our interactions with our customers and the time we spend with them is just radically more positive than it was when I arrived. It has really been a pleasure. And we're seeing strength across that business. And as I called out, not just in the West, but also in China. The time we spent, you know, I spent answering the Genie question is really nothing to do with Genie. Right? The reason I spent the time was to try to explain the depth of value that our software provides to makers of interactive entertainment. These are, and the distinctions are meaningful and important. So we are, and I also called out, you know, Unity 6, which is our most recent release, is being downloaded and adopted faster than any release ever. So it's, you know, we're seeing really positive results and we're getting really positive feedback on that business in general. I also called out in my prepared remarks that we're incredibly excited about the opportunity that our collaboration-centric enhancements to Unity Software Inc. are going to have. And again, for those maybe less familiar with how the product works, let me take a minute to explain why we're so excited about it. So if you imagine that, you know, at the present time, our only customers are software developers. The rest of the team that makes a game, everybody else, generally does not have access to Unity Software Inc. And making Unity Software Inc. accessible through the browser and moving it away from a kind of closed download-centric environment, everybody can share builds and share progress and work on projects together is going to be a massive unlock for our business. It takes us again from being able to appeal to just one part of the creative enterprise and opening up to everything else. Secondarily, we're incredibly excited about the progress we're making in AI and our product. And maybe it might have gone by a little bit quickly in my opening remarks, but we're really enthusiastic about, for example, in GDC, we're going to show Unity AI product that is where you're able to, with natural language, just prompt a full casual game into existence, but in a way that's inside Unity Software Inc. such that you are then able seamlessly to have the close control and to build the systems around that early prototype, to turn that piece of or the beginning of a project and turn it into a real game, which is what's critical. And then once you finish building that game, you're able to distribute it anywhere on any platform. So these are, you know, it's really funny. My sense of this market is really different from the kind of overall Internet vibe. There are going to be tens of millions of more people creating interactive entertainment, driven by AI making these tools more accessible. Tens of millions more people. We are the leading engine of creating interactive entertainment in the world. Especially on mobile, we are increasing our market share on PC, the leading engine in China, and we feel great about the product enhancements and the way we're moving forward. So as we set and look at 2026 and 2027, in general, we look at the acceleration of our advertising business, which we don't see any natural ceiling for, beginning to experience runtime in the Vector models in the middle of this year, and the likely extraordinary tailwind that both AI and opening up our products to many more potential users is going to have. We feel like the year and the year after especially are set up extraordinarily well for us.
Operator: Your next question comes from the line of William Lampen with BTIG. Your line is open. Please go ahead.
William Lampen: Thanks a lot. I have two as well. Maybe the first one, I guess, to sort of draw this Genie point out a little bit more. Matt, I think one of the things that the market is sort of wrestling with right now is what the end state of a lot of this ends up being, kind of as Eric alluded to. One of those things, I think, is also what happens from a pricing standpoint. And I'm curious if there is potentially an outcome where tens of millions more individuals are essentially creators here. Is there potential in a world where you have a much larger potential customer base that we either need to have more tiers of the product to appeal to a lower end of that potential new community, or does this, you know, if we also see the commerce business start to take shape and take flight, does that enable you potentially over time to be more competitive from a pricing standpoint? I have a quick follow-up after this, too.
Matthew Bromberg: Thank you for your question very much. Yeah. Let me try to answer that in two ways. We do believe that the greater accessibility of our product that is being driven by AI is going to open up opportunities for us to monetize much more effectively the, you know, 90-ish percent of users that we have that don't pay us because we're able to deliver some value-added services to them, whether that be consumption-based or otherwise. And as I said, we also expect the addressable market to grow much larger, which makes that opportunity even greater. The other thing in your question, I think, is a really important point. We are extraordinarily flexible and open-minded about business models here. We are not dug in around a seat-based SaaS model. There's no reason for us to be dug in around it because, as I said, first of all, we have a very large freemium motion. Second of all, to your point, we have in commerce, AI enhancement in our advertising business in Vector, lots of really interesting ways to offer really high-value add products to customers that we can then generate meaningful business around. One of the things that's really interesting if you step back for a minute and think about just think about the tension that exists in our model as it exists right now. We charge for the engine, but the truth is, especially with respect to our commerce products and our ad products, mostly, we just want more people to use the engine. The more people that use the engine, the bigger our ad business is. The bigger our commerce products are, the more value we can deliver around a lot of the individual products we're building. So this is not a transition we're afraid of in any way. By the way, our advertising business is also significantly larger than our Create business. So when we start to see moves in opportunities to evolve business models, we will take them. And I think you've seen with us, we're not afraid of making fundamental shifts, which is one of the reasons why we see this landscape as so incredibly interesting for us going forward.
William Lampen: That is very helpful. And maybe if I could just sort of follow-up quickly on IronSource. As part of some of the headwinds sort of drawing to a close, I'm curious if you could help us understand maybe what the derivative consequences might be to direct costs of operation for the ad networks that you're managing right now or, you know, sort of other segments of the enterprise right now? Is that an opportunity or how should we, I guess, in general, think about that and maybe what's baked into guidance? Thank you.
Jarrod Yahes: Yeah. Sure, William. I think, you know, Matt partially addressed this in his prepared remarks where he spoke about displacing commoditized lower-margin ad network revenue for deeply differentiated AI platform revenue. We strongly believe that this is ultimately an opportunity over time for simplification of our business, streamlining of our business, and ultimately, this is going to result in a higher-margin business with greater scalability and leverageability. Today, we are spreading resources across multiple networks. As our business evolves and changes, we'll be able to ultimately concentrate those resources, leading to greater operating leverage and ultimately greater gross margins in our business. So I think we feel really good about that. The commentary on EBITDA margins for 2026 should reflect that. We spoke about operating margins improving over the course of the year. We spoke about 300 basis points of margin expansion year over year in the first quarter. And that's up to and including some of the changes that we expect in the mix of our business over time as Vector becomes a much larger piece of the overall portfolio. And really, we're getting to the core growth engines of our business by the end of this year.
William Lampen: Thank you.
Operator: Your next question comes from the line of Andrew Boone with Citizens. Your line is open. Please go ahead.
Andrew Boone: Thanks so much for taking my questions. Matt, you talked about the developer data framework kind of layering that into the model in 2026. Is there any additional help you can provide us in terms of contribution from that or maybe a little bit more on the timing as we think about what that could mean for the ad model? And then you talked a little bit about increasing the collaboration tools across the platform and including more types that come and utilize Unity Software Inc. Can you talk about the opportunity there and the potential monetization as you bring on different types of developers and creators onto the platform? Thank you.
Matthew Bromberg: Absolutely. Thank you so much for the question. So on runtime, just as a reminder for everybody, we rolled out the developer data framework first in August. So then we began collecting data on new games that were built with our 6.2 release. We've been really thrilled with the uptake. We've had opt-in rates in excess of 90%. And there are a lot of applications being created there. We also more recently rolled out a streamlined self-service feature that allows customers that are operating games using older versions of Unity Software Inc. to also take advantage of the developer data framework, which is critical. So in terms of testing, we are feeling now that we're reaching critical mass, and we're comfortable that this robust testing that we're seeing is ultimately going to yield meaningful results for us, which is a part of why we're kind of moving into the release of Q2, the runtime data into our models. So again, we plan to do that integration in the second quarter. The precise time will depend on, you know, on the testing and ramping, but we're feeling really good about that. As it relates to your question on collaboration in the model, there's a couple of things going on. So we believe we'll have the opportunity to sell in a more traditional seat model or what we call sort of a collaborator licenses to folks who are not our core software developer customers but sit around that customer. So in the initial instance, that is most likely the way we will monetize that additional consumer base. And around our AI products, we'll expect to, especially for our enterprise customers who are paying us already, they will likely get an allocation of tokens and consumption as part of their offering and then be able to buy additional tokens on top of that to use our product. So we're really excited about dimensionalizing kind of the connects we have with our customers and providing more opportunities for monetization and diversification of those revenue streams. And then, you know, we'll see ultimately over the year what model takes root, but in the near term, we see real opportunity in those two areas.
Andrew Boone: Thank you.
Operator: Your next question comes from the line of Dylan Becker with William Blair. Your line is open. Please go ahead.
Dylan Becker: Hey, gentlemen. Really appreciate all the detail here. Maybe, Matt, just kind of touching on the aggregate Grow business. I think you made some important comments here. I think you said that you're going to fiscal 2026 at $1 billion plus run rate within Vector. You gave us the 11% moving to 6% on IronSource, so maybe that natural attrition will allow Grow to properly reflect the recent Vector momentum. I guess, is that a fair characterization? Just making sure I heard that correctly first. And then second, as we think about kind of the third piece of the pie, the other non-Vector components outside of IronSource and the ability to layer in AI and see improvements in some of those assets, I guess, where we sit kind of on that adoption curve as well too. Thank you.
Matthew Bromberg: Yeah. So thanks, Dylan. The answer to your first question is yes. You understood precisely what we were talking about. And the description you had of the growth of Vector and the sort of concomitant smaller piece that IronSource will comprise of the total is exactly right. And as Jarrod mentioned a little bit earlier, not only will that lift growth rates, it will increase profitability because taken as a whole, Vector is a more profitable product and business for us. We'll also drive additional efficiencies. To take your second point, outside of the IronSource ad network, all other Grow businesses actually showcased sequential growth in the fourth quarter and remain meaningful drivers of revenue and profit. So in fact, excluding IronSource, the Grow segment was up double digits sequentially in the fourth quarter. So we feel really well poised for sustained growth as this business develops.
Dylan Becker: Very helpful. Thank you.
Operator: Your final question comes from the line of Martin Yang with Oppenheimer. Your line is open. Please go ahead.
Martin Yang: Hi. Thanks for taking my question. I want to touch on your observation on the mini apps growth in China. Can you articulate how Unity Software Inc. can benefit from the growth both on the Create and the Grow side of it?
Matthew Bromberg: Yes, Martin. Thank you so much for your question. As I said upfront, we're really excited about the position we have in China, which is the largest and probably fastest-growing game market in the world. Unity Software Inc. is fully compatible with all the local platforms in that region, and we have really deep and long-standing relationships with that developer community. So we're seeing a lot of growth and expansion of customer revenue there on the Create side. And by the way, that is not just games-related. Our industry business is particularly strong in Asia. We are particularly well-penetrated, for example, in the auto industry in Asia. The majority of companies use Unity Software Inc. for their in-dash display and other things as well as more deeply across that region. So we're feeling very optimistic about that business. The growth of Chinese-built games that are then released in the West, just like with any other game that gets created on Unity Software Inc., that is also an opportunity to have additional customers for our Vector product and additional opportunities for us to integrate other tools, technologies, and products into those games.
Operator: This concludes the question and answer session. I will now turn the call back to Alex Giaimo for closing remarks.
Alex Giaimo: Thanks, everyone, for joining this morning, and we look forward to connecting throughout the quarter. Have a great day.